Company Representatives: Greg Marken - Interim President, Chief Executive Officer, Treasurer Morgan Fields - President of Accounting Ryan Coleman - Investor Relations
Operator: Good day, and thank you for standing by. Welcome to the Advanced Emissions Solutions, Q2 2021 Earnings Conference Call. At this time all participants are in listen-only mode. Please be advised that today’s conference is bring recorded. . I would now like to hand the conference over to your speaker today, Ryan Coleman, Investor Relations. Thank you. Please go ahead. 
Ryan Coleman : Thank you and good morning everyone and thanks for joining us today for our second quarter 2021 earnings results call. With me on the call today are Greg Marken, Interim President, Chief Executive Officer and Treasurer; and Morgan Fields, the President of Accounting.  This conference call is being webcast live in the Investor Section of our website, and a downloadable version of today's presentation is available there, as well. A webcast replay will also be available on our site, and you may contact Health IR Group for Investor Relations support at 312-445-2870. Let me remind you that the presentation and remarks made today include forward-looking statements as defined in Section 21E of the Securities Exchange Act. These statements are based on information currently available to us and involve risks and uncertainties that could cause actual future results, performance and business prospects and opportunities to differ materially from those expressed in or implied by these statements. These risks and uncertainties are include, but are not limited to, those factors identified on slide two of today's slide presentation in our form 10-Q for the quarter ended June 30, 2021, and other filings with the Securities and Exchange Commission. Except as expressly required by securities laws, the company undertakes no obligation to update those factors or any forward-looking statements to reflect future events, developments or change circumstances or for any other reason. In addition, it is very important to review the presentation and today's remarks in conjunction with GAAP references in the financial statements. With that, I'll like to turn the call over to Greg.
Greg Marken: Thank you, Ryan, and thanks to everyone for joining us this morning. Yesterday after the close of markets we reported our second quarter results, which are highlighted on slide three. Our Refined Coal segment delivered another strong quarter of distributions, which were 34% higher than the prior year. Royalty earnings were also higher and the segment's operating income was more than double the prior year period.  The segment's adjusted EBITDA improved over the second quarter of 2020 by 33%. The Refined Coal segment’s strong results are largely being driven by the increase in invested RC facilities year-over-year, as well as the warmer than normal summer season across much of the U.S., coupled with the continued higher natural gas prices.  In our APT segment, our sales volumes have continued to rise and have exceeded our internal forecast for several months in a row. Revenue for the segment was roughly twice that of the prior year, driven by the realization of the Cabot supply agreement we announced in September of last year, as well as growth in non-power generation markets such as water and certain industrial applications.  However, most of the outperformance compared to our expectations during the second quarter was driven by our power generation customers who have been and continue to be affected by high, natural gas prices and warmer weather, both of which positively impact our product demand and results in the APT segment.  In addition, I would like to take a moment to acknowledge and reaffirm our commitment to continuing to diversify and grow the business, to reduce our exposure to the longer term uncertainty related to coal-fired power generation in North America.  Through the first half of the year, our team has worked closely with an industry leading channel partner within the growing soil and groundwater remediation market. I am pleased to share that our team has developed new activated carbon technologies, which we believe will allow us to differentiate our participation. We look forward to sharing more details regarding this growth initiative as we work closely with our channel partner to accelerate field administration of advanced product prototypes later this year.  Our gross profit for the APT segment in the quarter was $2.7 million despite the plant turnaround and the impacts of the plant incident, compared to just $0.8 million last year, which was not impacted by our plant turnaround. These results and the strong gross margin improvement relative to revenue growth demonstrate the inherent operating leverage of our business, and our highly sophisticated plant and vertically integrated operations.  The incremental volumes we have achieved to-date have driven our capacity utilization to a level much more in line with our long term expectation and the results has improved profitability. We anticipate plant utilization to remain strong as we continue to support increased demand through the balance of the year. The segment's adjusted EBITDA totaled $0.3 million compared to a loss of $2.3 million in the prior year.  Now, let me provide a quick update on the previously announced incident at our Red River plant. As we stated last quarter, the plant realized approximately one week of downtime, but was quickly back up and fully operational. We were able to continue to meet our customer demand through existing inventory and other sources without further interruption.  Ultimately, the direct cash flow impact of the internet, including maintenance and repairs, capital expenditures, inventory replacement and other items was consistent with our expectation that it would not exceed $3 million. Those extra costs did create the margin compression in the second quarter relative to the prior period, despite very strong volumes.  In addition, because we were forced to procure inventory through alternative sources during that downtime, our cost per pound to produce was higher than the prior quarter. At this time, we expect these impacts to create some margin pressure through the remainder of the year, as we cycle through the higher cost per pound inventory and continue to purchase inventory to supplement production due to the significant increases in demand we have seen from the Power Generation segment.  That said, customer orders and total volumes have been incredibly strong over the past several months, and we are very pleased with both the segments improved performance as well as its future prospects. We continue to expect improvement relative to last year.  We achieved consolidated net income of $16.6 million in the quarter or $0.90 per fully diluted share and adjusted EBITDA of $21.2 million, both were significantly better than last year. And as we announced in June, we paid off the remaining balance of our 3 year term loan used to fund the acquisition of Carbon Solutions prior to its stated maturity.  Also, as we disclosed in late July, we received notice that the $3.3 million PPP loans we received in 2020 has been forgiven. As a result, aside from equipment and facility leases, we are debt free and continue to build a strong cash position.  We will continue to prioritize organic investment in our manufacturing capabilities to ensure that we meet customer demand. We will also continue to prioritize our near term liquidity position as we work through both these schedule and our RC segment, and our strategic alternatives review. Tinuum continues to align their cost structure to prepare for the planned expiration of the production, tax credit generation period at the end of the year.  Turning to our outlook, after cash distributions received in the second quarter, we are updating our forecast for after tax cash flows from Tinuum to be between $30 million and $40 million. We remain focused on improving the profitability of our APT segment and expect our efforts over the last several quarters to yield improvements on that front.  We are optimizing our current product mix to enhance the earnings profile of the segment, as well as instituting price increases for all of our activated carbon products to both drive better earning performance, as well as to offset inflationary pressures.  And lastly, we are progressing in our strategic alternatives review to evaluate the opportunities available to us to maximize shareholder value. As we have discussed during in our past several calls, we have made great progress in growing our Red River plant’s capacity utilization, diversifying our product mix into water and industrial applications, bolstering our financial position through our focus on repaying our term loan, and growing our cash balances. We believe this provides us with a unique opportunity to evaluate the options available to us from a position of strength.  Overall, we have been pleased with the nature of the discussions up to this point, and we will provide updates as appropriate as the process unfolds. At present, there's is no timetable for the completion of that process.  Overall, we are happy with our financial performance for the first half of the year. Our RC segment is delivering strong equity earnings and distributions. Our APT segment is operating the best path since we purchased the assets; customer demand remains high; we continue to build cash and we are in a strong financial position going forward.  With that, I'll turn the call over to Morgan to review our second quarter financial performance in greater detail. 
Morgan Fields: Thank you, Greg. Slide four shows a snapshot of our second quarter financial performance. Second quarter earnings from equity method investments were $21.4 million compared to $8.2 million for the second quarter of 2020. The increase in earnings is mainly attributable to distributions recorded into earnings as a result of cumulative distributions from continuum group, exceeding the carrying value of the investment.  As a result, excess distributions are recognized as equity method earnings in the period in which the distributions occur. Tinuum Group has also increased distributions due to the three new RC facilities added in 2020.  Second quarter revenues and cost of revenues were $19.6 million and $13.3 million respectively, compared to $11.5 million and $7.4 million in the second quarter of 2020. The increase in revenue was primarily the result of higher sales of consumables, as well as higher royalty income.  Second quarter royalty earnings from Tinuum Group were $3.7 million compared to $3.3 million for the second quarter of 2020. The increase was primarily a result of the greater number of invested royalty bearing facilities compared to the prior year. Royalty income is based upon a percentage of the per ton pre-tax margin, inclusive of impacts related to depreciation expense and other allocable expenses. As of June 30, 2021 Tinuum had 22 RC invested facilities with 18 that are generating royalties.  Second quarter net income was $16.6 million or $0.90 per fully diluted share compared to a net loss of $23.8 million or a loss of $1.32 per share of the second quarter of 2020. The net loss in the second quarter of the prior year resulted from a pretax tax, non-cash impairment charge of $26.1 million related to our APT assets.  Second quarter consolidated adjusted EBITDA was $21.2 million compared to $12.2 million in 2020. The increase in adjusted EBITDA was driven by the increase in distribution from Tinuum, as well as higher consumable earnings compared to the second quarter of 2020.  We ended the second quarter with a cash balance, including restricted cash totaling $57.3 million, an increase of $21.4 million compared to $35.9 as of December 31, 2020. Of note, $10 million of cash remains restricted related to the terms of our surety bonds, pertaining to the reclamation activities at Marshall Mine.  Also as Greg mentioned, in June we announced that we fully repaid our three year term loan prior to its stated maturity. As of June 30, 2021 the total borrowing stood at $8 million, which was mainly comprised of finance leases and the PPP loans, which was subsequently forgiven in the third quarter. Thus subsequent to the forgiveness our outstanding borrowings would be $5 million compared to total borrowings of $24 million at the end of the year 2020.  Second quarter other operating expenses was $5.9 million compared to $35.1 million in the second quarter of 2020. As mentioned earlier, the prior year period includes a pre-tax non-cash impairment expense of $26.1 million. Excluding this impairment expense, other operating expenses totaled $9 million for the second quarter of 2020. The decrease is primarily driven by a decline in payroll expenses, as well as lower general and administrative expenses.  As a reminder, we do not expect a significant reduction in our run rate operating expenses upon the wind-down of RC business, as that business is run by a separate management team and we have already reduced resources that were specific to Tinuum over the past couple of years. Given the visibility of the year-end date for the expiration of the production tax credit, Tinuum has already taken the necessary steps to right size their cost structure over the past several quarters.  Overall, our capital allocation approach will remain unchanged. We expect to continue to focus on near term liquidity, ensuring our manufacturing capabilities and maximizing shareholder value. Our RC segment will deliver another $30 million to $40 million of cash flows and we expect our top line performance in our APT segment to remain strong.  Now, I'll turn the call back to Greg for his closing remarks. 
Greg Marken: Thank you, Morgan. Turning to slide five, you can see the expected future RC cash flows. During the second quarter, one invested RC facility reached the end of its scheduled expiration of its 10 year tax credit life. As such, we now have 22 invested RC facilities. Absent and unexpected change in the duration of the Section 45 Tax Credit Generation period, Tinuum does not expect to obtain additional tax equity investors for any incremental facilities and the remaining facilities tax credit generation periods will expire by the end of the year.  Slide six reflects the APT segment growth channels we have been discussing, where we are either currently active or have identified as future opportunities. When we acquired Carbon Solutions in December of 2018, we immediately became the go-to provider of Activated Carbon Solutions for power plants that needed to meet mercury air toxic standards. We already had existing relationships with many of those power plans and we knew that we had the opportunity to sell the suite of emissions control technologies into those relationships, even more so when refined coal rolled off.  During that time, coal fired power generation declined faster than both industry forecast as well as our forecast at the time of the acquisition had predicted. Abundant alternative renewable energy sources and competitively priced natural gas led to power generation facility switching from coal to natural gas. Thus, we were forced to pivot and diversify the mix of end markets we were selling into sooner than we had anticipated.  We have spent considerable time and effort building out our internal sales team, conducting product tests with new potential customers in the water and industrial channels. However, this year we have seen a significant rebound in the power generation market as alternative fuel source pricing has provided tailwinds to coal-fired dispatch, thus driving demand for our products.  As we pivoted during 2019 and beyond, we have generated significant traction in other markets; industries such as manufacturing and waste management that are also subject to emissions, restrictions. We have also seen better than expected share gains and water purification and continue to grow and exceed our forecast in that area.  We are also seeing early successes in other drilling market opportunities, utilizing both existing and developing product technologies and capabilities that may provide earnings opportunities in areas where the historical Carbon Solutions business has not competed. I remain encouraged by our progress within the remediation market segment and look forward to the completion of several site field demonstrations by the end of the year.  The APT segment's recent performance and ongoing strength has obviously been positively impacted by the two supply agreements we entered into with Cabot. The 15 year agreement to supply Cabot North American subsidiary with lignite activated carbon products has helped our volumes tremendously and allowed us to better leverage the low cost characteristics of the plant. In addition, we announced in February that we had entered into a separate agreement to supply a Cabot European subsidiary with lignite activated carbon products and other ADES proprietary products used for mercury removal in utility and industrial coal-fired power plants in the EMEA region, driven by regulations that will impact the market beginning in the second half of 2021 and beyond.  We believe that the potential geographic expansion offered by this agreement is an opportunistic step to further diversify in our revenue mix and further maximizing utilization of the plant’s capacity, while also providing downside protection related to ongoing pressures on coal-fired power generation in North America. These two supply agreements validate our competitive position in the market, as well as the opportunity we see for our product solutions going forward. We are fortunate to have an established and committed business partner in Cabot going forward.  As a result of our internal actions, in addition to the North American Cabot supply agreement, the APT segment is yielding material incremental volume and better operating leverage at our Red River Plant, while also expanding our commercial end markets to create a much more balanced mix of applications.  We continue to see increased demand within these end market applications we are supporting, which is also contributing to higher plant utilization rates on a go-forward basis. With this demand, as well as the high demand due to warmer weather and higher natural gas prices, there continues to be pressure on our inventory levels and meeting customer demand.  As the world’s need for sophisticated pollution control solutions grows, we expect to be a leading provider of choice for these technologies. Given our expertise and the quality and scale of our plant, we believe our strong financial position and assets leave us well positioned to pursue and develop additional opportunities.  Slide seven provides an update on our capital allocation program. We implemented our shareholder return initiatives during the second quarter of 2017 and since that time we have returned over $106 million to shareholders via dividends and share repurchases. As we have stated already, we fully repaid our term loan prior to the stated maturity and retained significant liquidity and flexibility to perform our organic investment in our APT segment and to maximize shareholder value through the strategic alternatives process.  And finally, slide eight reiterates our priorities for the remainder of the year. Our first priority is to continue to protect our net RC cash flows and optimize the $30 million to $40 million. We will simultaneously leverage our vertically integrated APT segment and its best-in-class Red River Plant to optimize our product mix to generate improved operating leverage. Part of this will be meeting our commitments to our agreements with customers, identifying opportunities to improve earnings through potential customer and product mix optimization and maintaining a focus on our cost structure relative to go forward business activities.  Lastly, we are reiterating our near-term capital allocation focused on cash preservation, as well as necessary organic investment in our activated carbon business as we approach the end of the RC business and progress through our strategic review. We will also aim to complete the strategic alternatives review process in a timely manner, while ensuring we continue to run our business efficiently.  With that, I'll turn the call back over to Ryan to move us to Q-and-A. 
Q - Ryan Coleman : Thanks Greg. As many as you saw, similar the last quarter we included at the bottom of the conference call announcement press release, as well as yesterday afternoon’s earnings press release, an invitation to submit questions ahead of time to be asked on the call. Thank you to those you who sent your questions. We'll likely continue this practice on upcoming earnings calls and we invite you to submit your questions next quarter as well.  The first question, how significant is the margin compression you're expecting in the APT segment? If demand remains robust, is there a chance you will need to procure inventory from alternative sources for longer than you expect? 
Greg Marken: The margin compression is creating a drag to the segment's operating profit. At this time, we expect that to be the case till the end of the year. The segment's top line remains strong and is growing every quarter. As that topline grows, we are generating better operating leverage that is allowing us to offset some of these margin pressures, so that is helping a bit.  Right now our main priority is meeting demand from customers and ensuring that we are delivering product. If meeting customer demand requires continuing to procure inventory from outside sources, then that is what we will do. But we continue to expect improvement in the segment once we work through the impacts of the downtime and the higher cost inventory. 
Ryan Coleman : Our second question, when would you expect your supply agreement with the European Cabot subsidiary to begin to provide a financial benefit?
Greg Marken: Thanks Ryan. There are pending regulations in the EU that we are expecting to come online during the latter half of the year as we said earlier. As those regulations are implemented and enforced, we expect that there will be a market for our activated carbon products for companies that will be bound by those emissions limits.  There will likely be a period of product testing requirements before we begin to realize any commercial benefit, but our agreement with Cabots European subsidiary ensures our opportunity to participate in the market and that Cabot will be the exclusive and sole reseller of our products within that EMEA region. If opportunities provide and our products are presented and those are the best options for our customer and product mix, we believe those opportunities will likely occur in 2022 and beyond. 
Ryan Coleman : And the third and final question we received, is there anything in the proposed infrastructure bill as it currently stands related to water treatment and water infrastructure where ADES could stand to benefit? 
Greg Marken: Based on the bipartisan infrastructure bill, we could possibly benefit related to the delivery of clean water to underserved communities, tribal nations and schools. However, actual funding and probability of qualifying is still uncertain, so we can't truly ascertain any benefit or tailwind at this point.  In the event that there is, we believe we would be well positioned to benefit given the quality of our assets and our current position in the municipal water market. 
Ryan Coleman : Thanks Greg and thanks again to everyone who submitted your question. I'll turn the call back over to Greg for any final remarks. 
Ryan Coleman: Thanks Ryan, and thanks to everyone for joining the call this morning, and for your continued support. I look forward to updating everyone next quarter. 
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.